Operator: Greetings, and welcome to the Brightcove First Quarter 2012 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Chris Menard, CFO for Brightcove. Thank you. Mr. Menard, you may begin. 
Brian Denyeau: Good afternoon, and welcome to Brightcove's First Quarter 2012 Earnings Call. Today, we will be discussing our results announced in our press release issued after the market closed today. With me on the call today are Jeremy Allaire, Brightcove's Chairman and Chief Executive Officer; David Mendels, President and Chief Operating Officer; and Chris Menard, Brightcove's Chief Financial Officer.
 During the call, we will make statements related to our business that may be considered forward-looking and are pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995, including statements concerning our financial guidance for the second fiscal quarter of 2012 and the full year of 2012. Our position execute on our growth strategy, our ability to expand our leadership position and our ability to maintain existing and acquire new customers.
 Forward-looking statements may often be identified with words such as we expect, we anticipate, upcoming or similar indications of future expectations. These statements reflect our views only as of today and should not be reflected upon as representing our views as of any subsequent date. These statements are subject to a variety of risks and uncertainties that could cause actual results to differ materially from expectations.
 For discretion on material risks and other important factors that could affect our actual results, please refer to those contained in our final prospectus relating to our initial public offering filed pursuant to Rule 424(b) under the Securities Act of the Securities and Exchange Commission on February 17, 2012, as updated by our subsequently filed quarterly reports on Form 10-Q and our other SEC filings.
 Also, during the course of today's call, we refer to certain non-GAAP financial measures. So the reconciliation schedule showing GAAP versus non-GAAP results currently available in our press release issued after the close of the market today, which is located on our website at www.brightcove.com.
 In terms of the agenda for today's call, Jeremy will begin with a summary overview of our market opportunity and financial results; Dave will then provide an update on go-to-market strategies and growth initiatives; and then Chris will finish with additional details regarding our first quarter 2012 results, as well as our guidance for the second quarter and full year of 2012.
 With that, let me turn the call over to Jeremy. 
Jeremy Allaire: Thanks, Brian, and thanks to all of you for joining us today on our first quarterly earnings call as a public company. We're pleased to report strong first quarter results, which were ahead of our expectations from both a revenue and profitability perspective. Our first quarter results were highlighted by revenue of $19.9 million, which represents growth of 53% on a year-over-year basis. 
 We're also thrilled to have completed our IPO during the first quarter. This is a major milestone for our company that helps expand awareness that companies of all sizes and across verticals are increasingly adopting online video platforms and launching mobile content applications. Our IPO also provides Brightcove with increased financial resources and company-specific brand awareness that will help us to further expand our market leadership position and execute our long-term growth strategy.
 Since this is our first quarterly earnings call, I'd like to provide an overview of Brightcove's value proposition and market opportunity as many of those listening in may be new to our story. We were founded with a mission to publish and distribute the world's professional digital media. We pioneered the online video platform market and remained the clear market leader. And we have more recently launched our second major product that addresses the rapidly growing market for mobile apps. Our cloud-based platforms help organizations deliver more impactful content to users, thereby, increasing revenue from online and mobile initiatives.
 We also enable organizations to improve efficiency and lower operating costs associated with these same initiatives, contributing to a compelling overall value proposition. Customers of all sizes, across diverse verticals and geographies require the solutions that Brightcove is bringing to market, and we believe that we are very well positioned at the center of several megatrends in technology, namely: video, mobile, cloud and social.
 There's a fundamental change occurring in the way content is being consumed. The increasing ubiquity of broadband access and faster mobile network speeds are leading to an explosion in video content being consumed on the Internet. Video currently accounts for approximately half of all Internet traffic in many parts of the world, and it's expected to grow at twice the rate of other Internet traffic for the next 4 years. At the same time, we're seeing a dramatic shift in digital consumption from exclusively PC-based experiences to a wide range of mobile devices such as smartphones and tablets, and Smart TVs are emerging as another important digital content consumption platform.
 The dramatic growth, increasing complexity and growing strategic importance of online video is creating a major market opportunity for providers of online video platforms. Our flagship product, Brightcove Video Cloud, empowers customers to get back to their core competencies and out-of-the-software development business, while giving them full control over their brands and customer experience.
 In addition, our customers benefit from our continuous enhancements, which is important considering the pace of innovation in our market. We believe the total potential market for online video platform is over $2 billion today, and we expect a growing portion of the market will increasingly shift from in-house developed solutions to third-party platforms. We also believe Brightcove is well positioned to capitalize on this tremendous market opportunity. In fact, every major industry analyst rates Brightcove as the market leader in online video platforms.
 Another important topic that I want to drive home is that online content is about more than video. The explosion of mobile apps since the introduction of the App Store in 2007 has dramatically changed the way content is being consumed. The proliferation of devices and multiple mobile operating systems make it both complex and costly to develop, distribute and maintain content applications. However, the opportunity doing so successfully is significant based on the rapid pace in mobile device adoption and consumer expectations that they can consume anything they want via apps on devices of their preferences.
 Our App Cloud platform, which we introduced at the end of last year, is the only solution on the market that offers customers an end-to-end life cycle management for their apps from front and back-end development and QA testing, to content management and optimization of content, realtime content analytics and tools for using push notifications to communicate with and engage app users. While we are in the very early stages of exploring this market, we think App Cloud has significant long-term potential.
 We plan on discussing the latest developments and plans for both Video Cloud and App Cloud at our annual users conference, Brightcove PLAY, which will be held in late June in Boston. This has become the premier gathering in the world for customers and developers to see the latest innovations and share best practices for leveraging online video and content apps to drive business value. Space is limited, but we look forward to seeing analysts and investors at this great event.
 Let me now turn the call over to our President and Chief Operating Officer, David Mendels. David? 
David Mendels: Thanks, Jeremy. I'd like to take a few minutes to review some of the key aspects of our growth strategy, including progress made during the first quarter. A key priority is to expand our customer base, which ended the first quarter at 4,254, up 49% year-over-year. During the quarter, we added premium Video Cloud customers across a wide range of verticals, including media, pharmaceutical, retail, hospitality, technology, financial services, automotive and more. Some specific customer examples include Allianz France, APN News & Media, Avid, Coca-Cola Korea, McMillan, Media General, Mind Candy, Mitsubishi, Pfizer International operations, Starwood Hotels & Resorts, TIA Craft, Toyota, TV New Zealand, Universal Sports and Zions Bank, to name a few.
 Let me provide additional insight into a few of these wins that we reinforce keeping that Jeremy discussed. Universal Sports, a partnership between NBC Sports and InterMedia, made a decision to transition its internal online video operations to the Video Cloud platform in order to address the increasingly complex, multiscreen requirements and scale to meet the demands of its fast-growing video library.
 As another example, Gaiam, a global leader in fitness accessories and lifestyle media, made the decision that they were unable to use a competitive video service to meet the demands of online video initiatives for the popular yoga and lifestyle brands, which included secure video distribution and a high frequency of live event coverage. Gaiam is now using Video Cloud for all of its live and subscription offerings.
 We also view our Video Cloud Express product as an important solution preceding the entry level of the market. There are millions of potential customers for an online video platform, and we believe all companies with professionally produced video, will ultimately adapt to cloud-based, third-party online video platform.
 During the first quarter, we introduced a new offering that allowed entry-level customers to purchase on a per-video basis, starting with a single video. We will continue to test new offers and strategies as we focus on delivering a set of package offerings that meet the unique requirements of all major segments of the buying market.
 Our App Cloud offering provides us with another opportunity to win new customers and to increase our share of wallet with existing customers. We're still in the early stages of bringing this solution to market, but we're excited about the level of trial activity, the development of our pipeline of opportunities, as well as early customer feedback. We see a new category of software emerging, the content app platform. Our App Cloud offering addresses the sweet spot of challenges that many organizations are facing as they attempt to build and deploy content applications to leverage the rapid adoption of mobile devices.
 Like Video Cloud, our App Cloud customer base is also very diversed, ranging from AMC Television Networks to the U.S. State Department. In Q1, we saw a number of exciting new App Cloud-powered apps come online, including the Metropolitan Opera, which is the largest classical musical organization in North America. They've been a Video Cloud customer since 2010. In 2012, the Met became an App Cloud customer, launching the Met Opera on Demand iPad App available through the iTunes App Store. The app provides opera fans around the world with access to nearly 400 full length operas and dozens of historic radio broadcasts dating back to 1936.
 Joyce Meyer Ministries is another great example. Also an existing Video Cloud customer, Joyce Meyer Ministries decided to expand their mobile app to give viewers access to their content wherever they are. Using App Cloud, they created an iOS app with their existing web development team resources, that gives their audience daily updates on new content and daily TV and radio broadcasts. App Cloud also enables Joyce Meyer Ministries to send location-based push notifications to notify users of upcoming events in their area.
 In addition to winning new customers, we're focused on expanding existing Video Cloud customer relationships. There are a few ways that we do so. First, many of our customers have only adopted our Video Cloud platform in a single geography, business unit or brand. As such, there's significant opportunity to drive increased penetration across our customer base as they increasingly realize the value of their online video strategy. An additional way to cross-sell to an existing customer is with App Cloud, which is highly complementary to and integrated with Video Cloud.
 We also have the opportunity to upsell customers. For example, something that we track closely is the number of Video Cloud Express customers that upgrade to our premium Video Cloud subscriptions. Last year, we had 125 upgrades from express to premium, and we're off to a great start in this area with over 40 upgrades in the first quarter.
 Besides the obvious revenue benefit, we think that these upgrades validate our entry-level strategy, as well as the value online video content can bring to an organization.
 Finally, continued investment in product innovation is one of the factors that will enable Brightcove to continue winning new customers, expanding relationships with existing customers and growing our global market leadership position. There are several recent examples that reinforce Brightcove's position as a technology and visionary market leader. Our new Brightcove Content Exchange initiative makes available some of the largest libraries of high-quality online video like AOL Video, Diagonal View, Internet Video Archive, NewsLook and ScreenPlay to our premium customers. This exciting new initiative significantly streamlines the profits of media companies, licensing content from content providers, driving improved ad revenue economics.
 At the NAB Broadcast Industry Trade Show a few weeks ago, we announced our Brightcove Video Paywall Solution Framework which accelerates the introduction of paid video content services from media publishers by combining Video Cloud with best-in-class subscription management, payment processing, digital rights management and content protection technologies from industry leaders in each field. This solution framework will enable media publishers to sell, deliver and protect content across PCs, smartphones, tablets and connected TVs. Historically, we've had many inquiries from customers and prospects who are seeking this kind of solution, and we believe that this new solution framework will streamline our pursuit for these opportunities.
 In addition, we announced that we became a Certified Widevine Implementation Partner. Widevine is a cross-platform DRM content protection technology now owned by Google. We will enable content owners and licensees to securely upload premium content and have it programmatically encrypted and packaged with Widevine DRM for more than 440 million consumer electronic devices. These assets can then be distributed by a Video Cloud to distribution partners and content delivery networks for delivery to consumer experiences on any connected device that supports the Widevine technology.
 We're excited to be at the forefront of cloud platforms for digital media, and we're working hard to further expand our market leadership and to ultimately be one of the primary winners in our multibillion dollar market opportunity.
 With that, let me turn it over to Chris. 
Christopher Menard: Thanks, David. As Jeremy mentioned, we are very pleased with our first quarter revenue and operating results. The company's execution was solid in the quarter, and we are encouraged by the strong start to the year.
 I'd like to start with a quick overview of our financial model, as some investors and analysts may be new to our story. We have a subscription-based business model and recognize revenue on a ratable basis. This provides us with significant visibility into future revenue given that over 90% of our revenue comes from subscriptions, and we have a history of strong dollar retention rates in the 90% range or better over the last year.
 The combination of backlog and renewals provides us with visibility into approximately 90% of our quarterly revenue and 70% or more of our annual revenue at the start of a given year. Almost all of our revenue today is generated from our Video Cloud product and our premium offerings in particular. Premium customers generally sign a 1-year contract, which includes a subscription to our Video Cloud platform, basic support and a predetermined amount of usage.
 Our Video Cloud Express customers are primarily month-to-month, whereby their credit cards are charged on a monthly basis. Although, about 15% of our express customers are on annual contracts.
 The free edition of our recently introduced App Cloud product allows developers to build and test an unlimited number of content apps without deploying them live into the app stores. The enterprise edition of App Cloud allows customers to deploy, manage and operate apps and is offered on an annual paid subscription basis. While we believe we have a strong offering in a very attractive market, we do not expect App Cloud to have a material impact on our revenue during 2012. It takes time for customers to adopt a category of a brand-new platform, design and build their apps and get them deployed in the app stores.
 With that background, let me go through our first quarter results, beginning with the income statement. For the first quarter, total revenue was $19.9 million, a 53% increase from $13.1 million in the first quarter of 2011. Subscription and support revenue was $18.8 million, a 51% increase year-over-year, and professional services and other revenue was $1.1 million, up 90% from the first quarter of 2011.
 There are 2 primary drivers to our better-than-expected revenue for the first quarter. First, we experienced higher overage fees in the prior comparable periods. Overage fees are usage fees in excess of contractually committed subscriptions. Overage fees in the first quarter were more than double our historical average of $600,000 to $800,000 per quarter. We do not intend of breaking these out each quarter. The second driver to our better-than-expected revenue performance was the solid underlying momentum of our business throughout the quarter.
 Turning to revenue mix, our premium offerings generated $18.2 million of total revenue, representing a 52% year-over-year increase; while our express offering generated $1.7 million in revenue, a 58% increase from the first quarter of 2011. It is worth pointing out that most of the overage revenue for the quarter was associated with our premium offerings.
 On a geographic basis, we generated $13.1 million of revenue in North America for the first quarter, which represents 66% of our total revenue and was up 48% year-over-year. Europe recorded $4.4 million, a 47% increase and 22% of our total revenue. Japan and Asia Pacific generated $2.4 million of revenue for the quarter, up 92% year-over-year and representing 12% of revenue.
 From a vertical perspective, non-media customers represented 59% of our first quarter revenue and grew 74% on a year-over-year basis; while our media customers generated 41% of our revenue and grew at 29% on a year-over-year basis.
 Consistent with our earlier comments, we see a very horizontal market opportunity ahead of us and expect our revenue to become increasingly diverse across a wide range of verticals over time.
 Let me review some of the additional metrics that we plan on sharing with investors going forward. We entered the first quarter with 4,254 customers, which was up 49% from the end of the year-ago period. We added 382 new customers in Q1, which included 118 new premium customers and 264 new express customers. Our average monthly video streams were $693 million, which is relatively consistent on a year-over-year basis and compares to $743 million for all of 2011.
 There are a few important points to put this metric into proper perspective. First, AOL previously acquired a company called 5min Media, that also happen to have many aspects of an online video platform embedded within their product. While not broadly available as a separate commercial offering, their ownership of the technology influenced AOL to use that solution for a large percent of their traffic. AOL remains a Brightcove customer for some of their properties.
 Second, if we normalize monthly video streams to exclude AOL, video streams were up nearly 30% on a year-over-year basis, demonstrating strong growth in general customer usage.
 Finally, our video streams metric can vary significantly quarter-to-quarter as world events like celebrity news and major news events can drive short-term spikes in traffic.
 When we discuss video streams, we remind people that it's a velocity measure and not the only predictor of revenue. This is because not all video streams are created equal. Customers with lower volumes pay higher per video stream pricing, and we offer discounts for higher levels of volumes. Most of our premium customers purchase capacity on an annual basis in advance and incur overage charges only when they exceed their annual limits.
 In addition, from a revenue model perspective, while a customer usage may vary quarter-to-quarter, we have a ratable revenue recognition model. However, as we noted in describing our significant outperformance for the first quarter, when customers run into overage situations, the fees associated with those overages are recognized as revenue during the period they occur and are invoiced.
 The final supplemental metric that we will share is our recurring dollar retention rate, which was 93% in the first quarter, the same as our 2011 average. We believe this metric is a good indicator of the value our customers derive from our products, and our ability to retain our customers is an indicator of the stability of our revenue base and the long-term value of our customer relationships.
 Moving down the P&L. Our non-GAAP gross profit in the first quarter was $13.6 million, a 56% increase from a year ago and a gross margin of 68%. Our gross margin was comprised of 72% subscription and support margins and a negative 4% professional services margin. We expect gross margins to expand over time with the inherent leverage of our ratable subscription model, an addition to improve services margins as we gain leverage on our expanded organization and focus more on operation efficiencies.
 Turning to non-GAAP operating expenses. Our sales and marketing expenses in the first quarter were $8.8 million or 44% of revenue versus 51% of revenue in the first quarter of 2011. The absolute dollar growth in sales and marketing expense reflects the investments we are making to build out our global sales footprint to capitalize on the robust demand we are seeing for our products. These expenses may be lumpy on a quarterly basis. However, we expect sales and marketing expense to decline as a percentage of revenue as we begin to benefit from greater economies of scale.
 R&D expenses were $4.1 million or 21% of revenue, compared to 26% in the year-ago period. We will continue to invest meaningfully in our Video Cloud and App Cloud platforms to extend our technology leadership position, but we do anticipate realizing economies of scale from R&D over time.
 G&A expenses were $3.1 million or 15% of revenue versus 16% in the first quarter of 2011. G&A expenses were higher on an absolute dollar basis due to the significant costs associated with becoming a public company and the expansion of our global footprint.
 Non-GAAP operating loss was $2.3 million in the first quarter, an improvement compared to a loss of $3.4 million in the first quarter of 2011. Non-GAAP net loss per share was $0.17 based on 15.8 million shares outstanding. This compares to a net loss per share of $0.72 on 4.8 million shares in the year-ago period.
 On a GAAP basis, our gross profit was $13.6 million, operating loss was $3.2 million and our net loss per share was $0.27.
 Turning to the balance sheet. We ended the quarter with cash and cash equivalents of $60.6 million, which was an increase of $43.4 million from December 31. The increase in cash and equivalents was due to the net proceeds of $54.6 million we generated from Brightcove's initial public offering. We used approximately $7 million of our IPO proceeds to repay debt during the quarter and are now debt-free.
 From a cash flow perspective, we used $2.8 million in cash from operations and invested $3.7 million in capital expenditures during the quarter. This equates to a negative $6.5 million of free cash flow for the quarter. This compares to a negative $4.4 million in the year-ago period.
 Our deferred revenue balance at quarter end was $14.7 million. It's important for investors to understand that our deferred revenue is not as meaningful an indicator of billings activity in the quarter as it may be for other SaaS companies that are exclusively on annual payment terms. As I mentioned previously, our express customers are primarily on monthly billing terms. Even more significant, while the majority of our new premium customers are signed with annual payment terms, a healthy portion of our overall premium billings remain on monthly or quarterly billing terms.
 Finally, I'd like to provide our financial outlook for both 2012 and the second quarter. For the full year, we expect revenue of $81 million to $82.5 million, which equates to a year-over-year growth of 27% to 30%. We are targeting a non-GAAP operating loss of $10 million to $11 million, representing an improvement from a non-GAAP operating loss of $11.9 million for the full year 2011. Non-GAAP net loss per share is expected to be $0.44 to $0.48 for the full year based on 24.6 million shares outstanding.
 Our non-GAAP result exclude an estimated $5.2 million of stock-based compensation expense and $733,000 of accrued dividends related to our converted preferred stock. GAAP net loss is expected to be $0.69 to $0.73 for the full year 2012. We are also forecasting negative free cash flow of between $10 million and $11 million for the full year.
 For the second quarter, we are targeting revenue of $19.5 million to $19.9 million. While this represents a solid increase of 28% to 30% on a year-over-year basis, we do expect revenue to be down or flat sequentially given our first quarter result expands a level of overage fees that we have not seen historically, and it is not something that we are forecasting moving forward. In addition, we expect professional services revenue to decline sequentially due to the timing of project completions.
 From a profitability perspective, we expect a non-GAAP operating loss of $3.5 million to $3.8 million for the second quarter, contributing to a non-GAAP net loss per share of $0.13 to $0.14 based on 27.3 million shares outstanding. Our non-GAAP results exclude an estimated $1.2 million of stock-based compensation expense. GAAP net loss is expected to be $0.18 to $0.19 for the second quarter.
 In summary, we are pleased with our first quarter as a public company. We are optimistic about Brightcove's outlook for the remainder of the year, and we believe that we are well positioned as the market leader in an emerging, multibillion-dollar market opportunity that is at the center of multiple, powerful, industry drivers.
 Operator, we are now ready to begin the Q&A session. 
Operator: [Operator Instructions] Our first question comes from the line of Jennifer Lowe with Morgan Stanley. 
Jennifer Swanson: This is Jennifer Swanson Lowe calling in on behalf of Adam. My first question, I wanted to touch on the overage in the quarter, and I know you highlighted it as being above average and not something that you would expect to reoccur, but can you give us a little color on through what the factors were to the extent that you know that maybe drove that overage in the quarter? 
Jeremy Allaire: Chris, why don't you take that? 
Christopher Menard: Yes, sure. Hi, Jennifer. There are a lot of factors that can give rise to overages. Overages can vary depending on where a customer is in their contract. So remember that we sell contracts that are typically 1-year annual contracts. So if people have a lot of usage, say, in the first half of their 12 months. They might go into overages in the second half of their contract. It can be a customer that did a pretty good job of estimating their usage, and they went into overages in the last month of their contract. What you'll typically see is if a customer starts to get into overages, and I think it's going to continue, that they'll come and they'll do an early renewal with us. And so, when I think about the things that cause the overages, it's just they're using more of the software than they anticipated during the original timeframe of that contract. Does that make sense? 
Jennifer Swanson: Yes, that's very helpful. And then I just wanted to touch on the App Cloud and I know, again, you sort of highlighted that you're not expecting it to be a material revenue contributor this year. But what's the initial feedback from customers been like? And is there any metrics you can give us around number of downloads that you've seen so far, anything like that, that might be helpful just getting a feel for the early traction that you're seeing? 
Jeremy Allaire: Sure. This is Jeremy, and, David, feel free to jump in as well. We're pleased with the initial traction activity with App Cloud. I think we had a number of theories around the launch of this new business. One core one was that this was going to be a horizontal business, very similar to the Video Cloud business, meaning that we were going to see customers that were across verticals, and we've seen that we'd find customers in financial services and in the state-based organizations, publishers, the government agencies and so on. So that's Vente [ph]. The second we're seeing around the world, we're signing customers in all the regions that we're operating in, and that's been very, very positive. And lots of great customer engagement and activity, both with the trial and in our field organizations. A key comment I want to make about App Cloud though, and this is, I think, something that we really started to experience in the first quarter is, it's absolutely changing the nature of the conversations that we're having with key accounts in the market. We are operating, I think, at a more senior level in many organizations now from a presentation perspective. The conversation is shifting to the broader landscape of digital media strategy, not just video. And I think it's shaping and evolving how the company's perceived and the degree in which we can be a meaningful platform partner for our customers. So that's been very encouraging; very, very noticeable as well. And I think it's not just a good indicator for App Cloud's potential, but also very supportive of the core Video Cloud business as well. 
Jennifer Swanson: Great. And just one last one for me, and this is more of a detailed one. But it looked like the CapEx in the quarter was a little higher than it's been historically. Was there anything notable going on this quarter that we should be thinking about, either persisting in the future or being more onetime in nature? 
Christopher Menard: Yes, it was a little heavy in the first quarter. We moved corporate headquarters from Cambridge to Boston. And so about $1.6 million of the total CapEx was related to furniture and fixtures and things like that for the new company headquarters. 
Operator: Our next question comes from the line of Tom Roderick with Stifel, Nicolaus. 
Tom Roderick: So wanted to touch on the express product here, and looking at the customer count for express, it looks like there was a nice sort of re-acceleration on that line. Can you talk about the go-to-market strategy? Any changes that you made there? What do you seeing that's working? And maybe you can kind of talk about the inputs to the sales model that are supporting that? 
Jeremy Allaire: David, you want take that? 
David Mendels: Sure, I'd be happy to. Well, the -- we're continuing to see a very broad market opportunity with companies of all kinds, in all geographies, very, very interested in adding video to their web and mobile presence. And so we continue to see a very, very large opportunity. We continue every quarter to experiment with and tweak what are the best ways to acquire customers and how to achieve the most cost-efficient marketing for customer acquisition. And so we did introduce, as I mentioned earlier on the call, a new offer where customers can purchase on a per-video basis. Historically, it's been a bundled offering where you start at $99 with 50 videos and then it scales up from there. But we introduced an offering where they can come in at a single-video basis. And so that created an opportunity. For some customers, it may be easier for them to adopt us in the quarter. And so I think that was a very positive move. I think you'll see us continuing to experiment with different ways of pricing the packages, as well as different marketing techniques as we continue to use SCM, SCO, public relations in order to achieve the most cost-effective way to acquire customers. 
Jeremy Allaire: This is Jeremy. I'd add one other comment, and I think this may have been David's remarks as well, but I want to underscore it. We really also look at the express business as a fundamental building block to the overall Video Cloud business. We call it the seed-and-grow model. Last year, as we talk about, I think in the past, we up sold 125 express customers into the premium product line. In Q1, we up sold 40 customers into the premium product line, so continuing to see not just good, increasing in express customers coming in at the base expressed here but we're also seeing that graduation up into the higher-priced premium product continue at a nice rate. 
Tom Roderick: Great. Last question for me, Chris, I'll throw this one at you. But in thinking about the numbers, so 53% growth here on the top line. So another impressive kind of top line quarter above 50% kind of working through the guidance for the rest of the year. It's just pretty meaningful slow up, so I'm going to suspect that there is some more conservative assumptions in what you're thinking about, but maybe you can kind of talk about what some of the factors might be that could materialize, that ultimately could drive upside beyond just bookings being better. Can you sort of address what are in the assumptions for overages and for renewal rates in those numbers that you're projecting for the rest of the year? 
Christopher Menard: Yes, sure. I'm going to start with the overages because it was such a big driver in the first quarter. I'm going back to the historical trends that we've seen over the last few years. So if overages continue at a rate that we saw similar in Q1. There's definitely upside. But right now, I consider that to be more of a bullet that I'm not comfortable to forecast that going forward. And I'm considering the renewal rates to be pretty consistent with what we've seen over the last year or so. And so I think the real chances for our continued overachievement are the momentum we see in the business. As I said in my canned remarks, we have very little revenue in for App Cloud for this year, so there's potential that, that could take off faster than we anticipate. But those are the main drivers that could get us over and above the guidance. 
Operator: Our next question comes from the line of Terry Tillman with Raymond James. 
Terrell Tillman: I guess Jeremy or David, in terms of the App Cloud offering, as you're advertising that on the Web and in various venues, are you actually seeing App Cloud drive Video Cloud business? Maybe the App Cloud was what intrigued them, but maybe they're not mature yet for that, and they end up going with your Video Cloud. Are you seeing any kind of pull-through in terms of the actual Video Cloud business? 
David Mendels: That's a great question. It's still very early to draw any general trends. But we've actually seen a nice synergy in both directions. So clearly, we've had Video Cloud customers that have gone on now to adopt App Cloud. We did have a small number of customers that came in because of App Cloud, purchased App Cloud and then became Video Cloud customers as well. It is premature to say that that's a fundamental trend, or to try and extrapolate that into any particular metric at this point. But it's certainly part of the fundamental vision here that we have established a brand around which media and a go-to-market operation and a global sales and marketing force that provides a way that we can take both products to market in a very efficient way and leverage a lot of what we built for 7 years, also take the market -- the App Cloud business. So I think we'll see a lot of that synergy, but it's still very early. We've seen a little bit, and we feel good about what we've seen so far. 
Jeremy Allaire: This is Jeremy as well. I can also add that we've certainly seen nice growth in the inbound activity and contacts overall as a result of the App Cloud being in the market. And those are becoming customer contacts and part of the overall sales and marketing engine that we have on a go-forward basis, going after that nice growth in inbound contacts and trials and so forth. And so I think that's been positive and again, as David said, too early to sort of predictably say how that drives the synergies in the Video Cloud business as well. 
Terrell Tillman: Okay. And then just my last one, it's an easy one for Chris. In terms of -- you were talking about the overage dynamic and sometimes that can drive early renewals. What kind of benefit did you see from the early renewals in your full year growth or guidance assumptions? 
Christopher Menard: Yes. The renewals came in at the 93% for the quarter, and that's in line with historical trends. So I wouldn't -- sometimes there's a little bit of timing, too, within the quarter. But I wouldn't say it was a major factor in the overachieving Q1 or a change in how we set guidance for the rest of the year. 
Terrell Tillman: Yes, I meant -- Chris, I meant the early renewal, the idea that folks were like blowing through their volumes, that they could even, midstream, do an early renewal maybe by more volume or streams. Was there any materiality from that dynamic that may have helped in the rest of the year's revenue guidance? Do you know what I mean? 
Christopher Menard: No, I understand. No, nothing out of the ordinary. I don't think it helped us or hindered us from what we saw in the first quarter versus historical trends. 
Operator: Our next question comes from the line of Robert Breza with RBC Capital Markets. 
Robert Breza: First of all, nice quarter. Jeremy, I guess, just stepping back with me at the big picture here, how would you say your pipeline has either accelerated or matured here with kind of all the new offerings you have? You've seen a higher conversion rate up to premium where the overages really occurred. Just trying to gauge more the macro backdrop here as you're getting more and more customers who are non-media. Just what are you seeing from a pipeline-build perspective? 
Jeremy Allaire: Sure. We don't specifically give out the kind of pipeline coverage metrics per se. I think we are certainly, as you would say, stepping back big picture. We're certainly seeing nice pickup in activity across the customer base. We've talked as well about the continued investment in sales and marketing on a worldwide basis, both last year and some continued investment this year. That's really to address that continued growth in activity, the inbound activity and outbound. I think we are -- we have, as you know, a kind of pyramid go-to-market model with the express business, a mid-market business and enterprise business, as well as the pre- and post-sales of account management. We're continuing just to kind of build that out on a worldwide basis in different geographies. It's most mature in North America. We want to grow that in other regions. And we're still very early in getting the leverage that we think we're going to get out of App Cloud. There's a great deal of focus on driving more and more upsell business as well from the install base, not just express, but also going back into those non-media accounts, which are large corporations who are really early in their investment cycles in video is a strategic part of the enterprise. And so we certainly see in this mid-market and enterprise non-media accounts great opportunities to grow pipeline and grow sales as well. I may ask David if you have any other comments on the general thoughts on sort of the pipeline build. 
David Mendels: Well, I think one of the things that we do think about, although it's not a one-to-one correlation, it's just a correspondence to the general trend in the market of more video consumption, more device consumption and content consumption on all of these devices. And so as we see those continued secular trends, we think that it continues to fit in very well for our continued growth and the growth of our pipeline around the world. 
Operator: Our next question comes from the line of Brendan Barnicle with Pacific Crest Securities. 
Brendon Barnicle: Guys, I was wondering if you'd seen any change in the competitive or pricing landscape, and in particular, I was interested if there have been any change post the IPO into the visibility you guys have had since then, as well as with the new products that you introduced? 
Jeremy Allaire: I'll -- this is Jeremy, I'll take part of that and then I'll give a bit to David and Chris as well. I think just on the last piece of the question, visibility, absolutely, we've seen positive brand awareness uplift from the IPO. I think it certainly had an important halo effect in our large-count targeting, field engagements, communications activities and so forth. So absolutely I've seen a positive effect of that. Again, that's an intangible, but I think it's certainly supportive of the continued growth in the business. 
David Mendels: Yes, I would say that we continue to feel very good about our competitive position. We have different competitors at different geographies, and in the different tiers of the market; in some cases, different verticals. So it is a fragmented landscape. But we -- I believe we're executing extremely well to continue to provide market leadership from both a product perspective and a sales and service execution perspective. And so I think we're doing very well in that regard and -- but there's no fundamental change in the last quarter from previous quarters. 
Jeremy Allaire: We've -- I would say, we've seen some smaller companies in this space. We've seen them less, and that's a reality just from a head-to-head competitive perspective. In certain geographies, we've seen them less through the last quarter, and I don't know what that's exactly attributable to, but that's certainly something we do track. 
Brendon Barnicle: And any change in pricing? 
Jeremy Allaire: No. 
Christopher Menard: No. 
Brendon Barnicle: And then just over on App Cloud, if I'm understanding it right, I mean I can see where it's helping at the large enterprises. But any metrics around sort of ISVs that you're looking at it, or new apps that you're seeing developed upon that are sort of independent of an existing large enterprise? 
David Mendels: The go-to-market on App Cloud is very much centered on the same kinds of direct-to-customer acquisition targets that we have had historically; meaning, mid-market to enterprise, corporations, as well as media publishers, they're digital marketers and media publishers. That's the new overwhelming focus, so really kind of trying to get it embedded into ISV-type use cases has not been a focus. That may have merged, but it's certainly not been a significant focus. We use this concept of content apps. It's really the kinds of applications that brands and media publishers are very much focused on. It's sort of a bit optimized for those use cases. But as the platform matures, and as we continue to get it into more and more independent developers' hands, that could evolve, and we'll certainly keep you guys abreast of the use cases as they continue to proliferate. 
Operator: There are no further questions at this time. I would like to turn the floor back over to management for closing comments. 
Jeremy Allaire: This is Jeremy. Once again, thanks for everyone joining the call. We're very happy with our Q1 results with the strong top line performance and customer growth and ongoing success with our core new businesses and express and App Cloud. So very pleased with the success and look forward to chatting again in the near future. Thank you. 
Operator: Thank you. Ladies and gentlemen, this concludes today's teleconference. You may disconnect your lines at this time, and thank you for your participation.